Operator: Good day, ladies and gentlemen and welcome to the American Assets Trust, Inc. First Quarter 2017 Earnings Call. [Operator Instructions] As a reminder, this conference call maybe recorded. I would now like to turn the conference over to Adam Wyll, Senior Vice President and General Counsel. You may begin.
Adam Wyll: Good morning. I would like to thank everyone for joining us today for American Assets Trust 2017 first quarter earnings conference call. Joining me on the call are Ernest Rady and Bob Barton. These and other members of our management team are available to take your questions at the conclusion of our prepared remarks. Our 2017 first quarter supplemental disclosure package provides a significant amount of valuable information with respect to the company’s operating and financial performance. The document is currently available on our website. Certain matters discussed on this call maybe deemed to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include any annualized or projected information as well as statements referring to expected or anticipated events or results. Although we believe the expectations reflected in such forward-looking statements are based on reasonable assumptions, our future operations and our actual performance may differ materially from the information contained in our forward-looking statements and we can give no assurance that these expectations will be attained. Risks inherent in these assumptions include, but are not limited to future economic conditions, including interest rates, real estate conditions and the risks and cost of construction. The earnings release and supplemental reporting package that we issued yesterday and our annual report filed on Form 10-K and our other financial disclosure documents provide a more in-depth discussion of risk factors that may affect our financial conditions and results of operations. Additionally, this call will contain non-GAAP financial information, including funds from operations, or FFO; earnings before interest, taxes, depreciation and amortization or EBITDA; and net operating income or NOI. American Assets is providing this information as a supplement to information prepared in accordance with Generally Accepted Accounting Principles. Explanations of such non-GAAP items and reconciliations to net income are contained in the company’s supplemental operating and financial data for the first quarter of 2017 furnished to the Securities and Exchange Commission and this information is available on our website at www.americanassetstrust.com. I will now turn the call over to our Chairman, President and CEO, Ernest Rady to begin our discussion of first quarter results. Ernest?
Ernest Rady: Thanks, Adam and good morning, everyone and thank you for joining American Assets Trust first quarter 2017 earnings call. Since we went public, our focus has been to be – to grow the net asset value of our stockholders, which we believe will result in increasing cash flow and dividends to our shareholders. We continue to believe that 2017 will be a year of repositioning, investment and growth. In light of all this, we still expect to deliver in excess of 9% growth in our FFO over 2016, which Bob will continue to outline in more detail in his comments. Our repositioning includes the Torrey Reserve building in San Diego that we have now started construction with the goal and vision to make it more relevant to the current leasing marketplace by opening it up and making it more light, bright and energetic and more spaces for tenants to collaborating amongst their employees. We expect this to take approximately 5 months and finish in the fourth quarter. At the Waikele Regional Shopping Center on the island of Oahu in Hawaii, we are still working on various scenarios that will create the best long-term sustainable outcome from the Kmart space. We are being purposely deliberative in our process as location is irreplaceable and we locked the right long-term tenants for this property, which we believe will ultimately result in an outcome that we all will be proud of and create long-term value for our shareholders. The acquisition of Pacific Ridge Apartments was just completed on April 28. Pacific Ridge is a 533-unit luxury apartment community located in San Diego, California that was completed in 2013 and currently is approximately 96% leased. The property is perched up a bluff offering unobstructed panoramic views of the Pacific Ocean with an unparalleled amenity package and designed with a large focus on environmental sustainability. The property’s central location in San Diego provides residents with convenient access to the light rail systems, extending residents’ reach to downtown, to San Diego Airport, to San Diego Zoo, sporting venues, numerous malls, retail centers, universities, culinary destinations and the freeway and public transportation. You can learn more about this asset at our new property website, www.livepacificridge.com. We believe the overall quality of this portfolio, our portfolio – your portfolio will continue to outperform regardless of where we are in the real estate cycle. With interest rates expected to increase, we are hopeful to find some dislocation in the marketplace and capitalize on those opportunities that present themselves. Again, on behalf of all of us at American Assets Trust, we thank you for your confidence and allow us to manage your property and we look forward to your continued support. I will now turn it over to Bob Barton, our Executive Vice President and CFO. Bob, please?
Bob Barton: Good morning and thank you, Ernest. Last night, we reported first quarter 2017 FFO of $0.44 per share. Net income attributable to common stockholders was $0.16 per share for the first quarter. The company’s Board of Directors has declared a dividend on its common stock of $0.26 per share for the quarterly period ending June 30, 2017. The dividend will be paid on June 29, 2017 to stockholders of record on June 15, 2017. Our retail portfolio ended the quarter at 96.9% leased. On a year-over-year basis, our retail occupancy was down approximately 170 basis points from the first quarter of 2016, leaving approximately 95,000 square feet vacant in our 3 million plus square feet retail portfolio. The decrease in retail vacancy is primarily attributed to The Sports Authority bankruptcy in 2016 at our Waikele property, which consisted of approximately 50,000 square feet. During the trailing four quarters, 72 retail leases were signed representing approximately 230,000 square feet or 8% of our total retail portfolio. Of these lease assigned, 62 leases consisting of approximately 211,000 square feet were for spaces previously leased. On a comparable basis, the annual cash basis ramp increased 7.3% over the prior leases. In our supplemental document on Page 30, we list the total lease expirations by sector and by year. On average, we have approximately 250,000 square feet of space expiring each year in our retail portfolio and approximately 250,000 square feet of space expiring each year in our office portfolio. The top of that page assumes no options or exercise and the bottom of that page assumes all lease options are exercised. If you look at the top of that page, assuming no options or exercise, you will see that we have approximately 1.2 million square feet expiring in 2018. The majority of that is approximately 891,000 square feet in our retail portfolio. But notice that if you look at the bottom half of that page, which assumes all options are exercised, it is only 51,000 square feet that is expiring in 2018. Additionally, the 2018 expirations include Sears ground lease at Carmel Mountain Plaza for 107,000 square feet, Macy’s ground lease at Del Monte Center for 212,500 square feet and Kmart at Waikele for 119,500 square feet, which we are currently in the process of repositioning as well as the lows at Waikele for 155,000 square feet, which we are currently in lease renewal discussions. The other major retailers expiring in 2018 are profitable stores based on the sales figures that we monitor. And lastly, historically, we have experienced approximately 90% to 92% retention of our retail tenants, because of the high-quality centers and the infill locations located in coastal West Coast markets. So big picture, we believe we are in pretty good shape on our 2018 expirations. Our office portfolio ended the quarter at approximately 89.3%, down approximately 200 basis points on a year-over-year basis, primarily due to ICW’s lease expiration on December 31, 2016 at Torrey Plaza in San Diego where approximately 70,000 square feet has been vacated as expected. The renovation of Torrey Plaza is currently underway and is expected to be completed in the fourth quarter. Once completed, we believe the renovation and repositioning of this building will result in the modern, highly amenitized office complex, which we expect will be well received in the marketplace. During the trailing four quarters, 59 new office leases were signed representing approximately 333,000 square feet or 12% of our total office portfolio. Of leases signed during the year, 43 leases consisting of approximately 257,000 square feet were for spaces previously leased. On a comparable basis, the annual cash basis ramp increased to 9.5% over the prior leases. Our multifamily portfolio ended the quarter at 93.4% leased or approximately 300 basis points over Q4 ‘16. If you look at our San Diego multifamily portfolio, we are 94% leased, including the 21 units of Loma Palisades that are currently offline for our renovation and refresh project. We expect to have these units back online sometime in the fourth quarter. If you look at our Hassalo multifamily portfolio in the Lloyd District of Portland, Oregon, we had a net absorption of 44 additional units leased during Q1, increasing the Hassalo portfolio to 92.4% occupancy, which is a 780 basis point increase in occupancy over Q4 ‘16. Portland continues to have one of the lowest unemployment rates in the country and has been one of the hottest residential markets in the nation. However, the growing new inventory in the market, apartment owners have begun providing heavy concessions to attract and fill their new developments as rent growth is slowing. Fortunately, our concessions have remained considerably less than the market. For instance, we offer less than one month free rent and our peers are offering approximately two plus months of free rent. Nevertheless, we still believe we have the right product in a highly desired transit oriented location with a neighborhood that continues to evolve before your eyes. We continue to be positive on this development and believe that it will create long-term net asset value for our shareholders. And lastly, we believe that multifamily continues to be an excellent hedge against inflation in an environment of increasing interest rates. Let’s talk about same-store NOI for a moment. Same-store retail cash NOI decreased in the first quarter to a negative 3.5%. The decrease is primarily due to the two former Sports Authority stores in our portfolio that went into bankruptcy in 2016. The former Sports Authority store at Carmel Mountain Plaza Regional Shopping Center in San Diego was leased to Dick’s Sporting Goods and cash rent began last month. We are also continuing to make progress with a national grocer with whom we have signed a letter of intent for the former Sports Authority space at our Waikele Shopping Center on the Island of Oahu in Hawaii. Same-store office cash in Hawaii was up 5.4% in the first quarter primarily due to new tenants at our Lloyd 700 property located in Portland, Oregon and our First & Main property also located in Portland, Oregon. We have also added the Lloyd District office portfolio back into the same-store pool in Q1 2017. Now that it has been a full period since development has been completed on Haslip, same-store multifamily cash NOI was up 2.5% for the first quarter. Higher year-over-year rents in our San Diego multifamily portfolio is the main driver of the same-store growth for the multifamily portfolio. This growth has been accomplished even with the 21 units from our Loma Palisades property taken offline for renovation and refresh. We believe the renovation of the 21 units will be completed in the fourth quarter of 2017. We continue to be pleased with the execution and direction of our multifamily portfolio. Hassalo on Eighth multifamily will be added to the same-store pool in Q4 2017. Waikiki Beach Walk, our mixed use property consisting of the Embassy Suites Hotel and Waikiki Beach Walk Retail reported a combined decrease in same-store cash NOI of approximately 13.9% for the first quarter. Let me break this out and give you some more color. For the Embassy Suites Hotel, same-store cash NOI decreased approximately 18% primarily due to the bad debt expense of approximately $500,000 recorded in March 2017. The bad debt expense is related to Sawayaka, also known as Tell Me Club, a Japanese wholesale partner for the hotel who suspended operations on March 24 and declared bankruptcy on March 27, an extremely rare event in Japan. Without the bankruptcy charge, Embassy Suites Hotel same-store cash NOI would have increased 6.9%. Although we have taken a charge in the first quarter of 2017, our revenue management team at Embassy Suites believes it is early enough in the year to mitigate the situation for the remainder of the year through other channels of revenue management and therefore, we do not expect any further changes to the Embassy Suites projected NOI for the remaining months of 2017 with respect to the Sawayaka/Tell Me club bankruptcy at this time. Waikiki Beach Walk retail same-store cash NOI decreased 9% primarily due to lease terminations totaling approximately $300,000 in the first quarter. Our retail leasing team that covers Waikiki Beach Walk retails is making good progress on 2017 lease renewals and filling our existing vacancies. Tenant sales at WBW retail were at approximately $1,078 per square foot for the rolling 12 months as our tenants continued to benefit from the exit location and the good economy. Turning to our first quarter results, FFO decreased $2.3 million or $0.04 to $0.44 per FFO per share compared to the fourth quarter. The first quarter results included the following activity. Number one, Waikiki Beach Walk retail decreased FFO by approximately $0.01 in Q1 due to a reduction in percentage rents, which are historically higher at year end and a decrease in base rent due to lease expirations as previously noted. Number two, Torrey Reserve Campus decreased FFO by approximately $0.01 in Q1 due to the ICW lease expiration at year end. Number three, non-cash charges reduced FFO in Q1 by approximately $0.015 relating to acceleration of the debt costs associated with the payoff of Waikiki Beach Walk CMBS mortgage. And number four, we issued 700,000 shares of common stock under our ATM program during Q1, which resulted in a reduction of FFO by approximately $0.015. Now as we look at our balance sheet and liquidity at the end of the first quarter, we had approximately $440 million in liquidity comprised of $190 million of cash and cash equivalents and $250 million of availability in our line of credit. Our leverage at the end of the first quarter remains low at 30.2%, total debt to total capitalization and a net debt to EBITDA of 5.9x. Our interest coverage and fixed charge coverage ratio ended the quarter at 3.5x. Lastly, we are revising our 2017 FFO guidance to reflect our recent acquisition of the Pacific Ridge Apartment Community in San Diego, California, which we acquired on April 28 at a purchase price of $232 million. Based on our initial analysis, we are acquiring this asset at a going-in cap rate slightly less than a 5% yield with an un-levered IRR ranging from a mid-6% to a high-7%. What we like about this acquisition is the following; first, it’s located directly across the main entrance to USD or the University of San Diego. Its location creates a captured market for college students in years 3 and 4 when students must leave the campus dorms after the first 2 years, secondly, it was just completed in 2013 and is a resort type apartment community, third, we believe there is an opportunity to reposition rents for our specific unit types using LRO or lease rent optimization software application, fourth, we believe there will be economies of scale with our over 600 plus multifamily units in San Diego and fifth, we believe there will be other operational efficiencies once we get in and start running the new apartment community. But we won’t know for sure the extent of the opportunities until we get in to run it for ourselves. We just took possession last Friday mid-day. At the closing, on April 28, the purchase price funded with $100 million from cash on hand and $132 million short-term borrowing on the line of credit. Our intention will be to reduce the line of credit with long-term fixed rate unsecured debt as soon as possible and balance that with a leveraged neutral strategy. Our revised range is $2 to $2.06 per FFO share with a midpoint of $2.03 per share from our previous guidance of $1.98 to $2.06 per FFO share with a midpoint of $2.02 per share. As we discussed in our prepared comments last quarter, we provided guidance that reduced our midpoint to $2 per FFO share. We are now increasing the lower end of the range by $0.02 per share to $2 per FFO share, increasing our midpoint by $0.03 to a range of – we now increase lower end by range of $0.02 to $2 per FFO share and increasing our midpoint by $0.03 to $2.03 as a result of the following two items; number one, Pacific Ridge is initially expected to be approximately $0.04 per FFO share accretive for the remaining eight months of 2017 and approximately $0.07 per FFO share accretive for 2018 and secondly, the bad debt expense related to the bankruptcy of the Japanese wholesaler at the Embassy Suites will reduce our guidance by approximately $0.01 per FFO share in 2017. These two items together, will increase our 2017 FFO guidance midpoint by $0.03 per FFO share to our revised midpoint of $2.03 per FFO share, a 9.7% increase in FFO over 2016. One last point is that we have read all of the negative news on the retail sector in the recent months, as you have. We have been – and we have seen that the retail tenants have a slightly stronger hand in lease negotiations in the current cycle. We have also reviewed the recent S&P Global Ratings report on the stressed U.S. retailers and over – and have overlaid their list of top of our retail portfolio. Worst case would be $0.015 to the downside, which we have factored into our guidance analysis. But we also believe that our Coastal West Coast infill locations with high quality centers will continue to outperform over the long-term, which we experienced during the great recession approximately 8 years ago. Our grocery anchored centers are not typical. They generally have four or five components that make up the outdoor lifestyle retail center. They generally include a specialty brochure, which typically has stronger operating margins than a typical brochure. They include an entertainment component like Regal theaters at Alamo Torre, Angelica Theaters at Carmel Mountain Plaza or Cinemark at Del Monte Shopping Center. They included a big box component and various dining options, to name a few. All-in-all, we feel very good about the retail portfolio that we manage on your behalf. I think it also reinforces the argument for a high quality Coastal West Coast diversified portfolio, which limits the downside risk in any one particular sector, but realizes the upside potential in each sector as well. As always, except as mentioned, our guidance excludes any impact from future acquisitions at [Technical Difficulty] issuances and repurchases. Future debt re-financings or repayments other than what we have already discussed with respect to the Pacific Ridge acquisition. Our guidance also assumes that we will receive all of Kmart’s lease revenue obligations at our Waikele Shopping Center in accordance with the terms of its lease obligations. We will continue our best to be as transparent as possible and share with you our analysis and interpretations on quarterly numbers. We are well prepared with an even stronger balance sheet than in prior years to capitalize and execute another opportunity that we believe will present themselves over the coming quarters. Operator, I will now turn the call over to you for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Craig Schmidt of Bank of America. Your line is now open.
Craig Schmidt: Thank you.
Bob Barton: Good morning Craig.
Craig Schmidt: Good morning. I was wondering if you could explain a little more about the bad debt charge due to the Tell Me Club, which I understand is a – well as a travel agency, I mean I can understand why you could lose revenue, I am just not sure to how it became bad debt?
Bob Barton: Yes. Craig. It’s a good question. It’s that the way the Japanese wholesaler works, when we have – and it’s very typical with the Japanese wholesalers, is that they will package tours or rooms together for their constituency in Japan. And they are – and those people that buy those packages will then come to our facility as a guest and we get paid generally 15 days to 20 days after they depart. And so we have never ever experienced a loss from these Japanese wholesalers. It’s just unheard of. So we were all caught off guard. And again, we have never had a bad debt expense on that Embassy Suites Hotel since we opened in December – since December 1, 2006.
Ernest Rady: And apparently, our folks there are confident that they can make that for them. But that was an unpleasant surprise, Craig.
Craig Schmidt: Okay, great. Thanks a lot.
Ernest Rady: Thank you.
Operator: Thank you. Our next question comes from the line of Todd Thomas with KeyBanc Capital Markets. Your line is now open.
Ernest Rady: Good morning Todd.
Drew Smith: Hi guys, good morning. It’s Drew Smith on for Todd today. Just wanted to get a little more clarity on guidance and the Pacific Ridge acquisition, could you just run through the accretion from the acquisition one more time and how that affected guidance?
Bob Barton: Yes. On the Pacific Ridge, we think that it will be – for the remaining eight months of 2017, we believe that will be accretive by $0.04. And so yes – and that’s net of the interest costs. So we think that for the next eight months, it will be accretive $0.04, but then we are reducing that $0.01 for that bankruptcy charge with the Tell Me Club. And that gets us to $0.03 increase in our midpoint.
Ernest Rady: Drew, when we take over an apartment project like this, we have really to see what the opportunities are. And as I think Bob said in his presentation, we just took over within the last week. So we are hopeful that we will be able to do better than we expected. But we won’t know until we managed it for at least 1 year. But I don’t think it will be bad. I really just don’t how good.
Drew Smith: Understood. Thank you. One last one, any thoughts on dispositions, the acquisition was structured to accommodate 10.31, is there anything on your mind there and any further acquisition thoughts as well on that front, so acquisitions or dispositions? Thanks guys.
Ernest Rady: Well, we have gone over our portfolio thoroughly. And frankly, we love everything we have. So we are thinking about it, but we can’t find anything that jumps out and say we ought to trade this for that. As far as acquisition goes, we have placed somebody on the management team to be aware – to make us aware of acquisition opportunities. So there are other things on our radar. We do have our eyes open to keep a close eye on the marketplace.
Drew Smith: Okay. Thanks guys. I appreciate it.
Bob Barton: Thank you, Drew.
Operator: Thank you. Our next question comes from Paul Morgan with Canaccord. Your line is now open.
Ernest Rady: Hi Paul.
Paul Morgan: Hi, good morning. Just in terms of the guidance, as you think about the ramp over the year I mean if you see $0.44 and you are 2 or 3 at the midpoint for the full year, that’s basically an average of like $0.53 for the rest of the year, it was a pretty big kind of sequential increase, is there – I mean I know there is a lot of moving pieces and you have kind of this charge in the quarter, but I mean is there any – how do you expect kind of the ramp in FFO to look over the course of the year or I mean, are we going to see a big step up in the second quarter or kind of really accelerating into the back end of the year?
Bob Barton: We are going to see – I mean in the second quarter, you are going to see some ramp because you are going to have the accretion for a partial quarter on Pacific Ridge. So we acquired that on April 28, so you will see May and June in terms of those results. Secondly, you won’t have that $0.01 charge on the Tell Me Club bankruptcy at the hotel. Third, you won’t have that $0.015 non-cash charge that we took when we paid off the CMBS early in the first quarter. So, I mean, those right there are going to step it up and then we will take a look at the operations.
Paul Morgan: Okay. So I will follow-up offline kind of maybe a little bit more on the quarterly ramp. In terms of the Pacific Ridge, I mean, I know it’s kind of early obviously to disclose. But I mean, have you given – have you had any time to kind of think more about sort of the mix of kind of students and professionals there? And whether there is kind of any optimization that could be done and kind of what you think kind of growth might look like from the asset in the first couple of years?
Ernest Rady: We are thinking about it, Paul and it’s really an interesting intellectual exercise. But I would – we have not reached any conclusion. It’s too early to reach a conclusion. We are going to have to adjust at a field more closely than we are able to view from the distance. We have looked at it in the past as a potential buyer. So, it’s too early to say, but it’s a very nice piece of property in a good location.
Paul Morgan: Okay. And then just last, any update on kind of what traffic has been like at the San Diego project and whether you are kind of seeing any momentum as San Diego gets close to completion there?
Ernest Rady: It’s a San Diego project, Torrey Point? Yes, lots of traffic, no leases signed. But it’s becoming a focal point in San Diego. People are asking me, what about that building just off the freeway with those fantastic views. So Jim, do you want to talk about any activities that you’ve experienced?
Jim Durfey: Sure.
Ernest Rady: Jim Durfey handles the office leasing.
Jim Durfey: I made discussions with a couple of large tenants to occupy space up there. And I am not at liberty going to it, but we are very optimistic that we would start filling that space up here very shortly.
Ernest Rady: It’s a great site and it’s a well-designed building and we are more than hopeful.
Paul Morgan: Okay, great. Thanks.
Ernest Rady: Thank you, Paul.
Operator: Thank you. Our next line comes from the line of Rich Hill of Morgan Stanley. Your line is now open.
Rich Hill: Hey, good morning guys. As always, thanks for the transparency. Just I had a couple of clarifications. So you obviously increased your FFO guide at the low-end of the range by around $0.04. I think I heard – or excuse me, you increased it slightly. I think I heard from you that the new apartment project in San Diego was worth around $0.04 and then you have the negative one-off. So, does that mean sort of on a same prop portfolio basis, your guide maybe would have been down a little bit without that acquisition or how should we think about that?
Ernest Rady: In terms of the multifamily, because we got...
Rich Hill: Yes, I am talking about sort of portfolio overall. Because if I am thinking about the $0.04 benefit that you got from the multifamily property and then the $0.01 hit you got from the bad debt that feels like a $0.03 increase and you didn’t increase guidance by that much. So I am just wondering how to think about that?
Bob Barton: Yes. I am not sure how to answer your question on that. I don’t think we would have been down. I know that – I mean, big picture, Rich, is that this is a transition year. And this is the first quarter that we have been down sequentially quarter-over-quarter in revenue, but without Pacific Ridge – because Pacific Ridge didn’t have any impact at all in Q1. And the ramp up for the rest of the year, we expect it to be $0.04 there and $0.01 reduction from that for the bankruptcy charge at the hotel, so you got a net $0.03 accretive. We – and without that acquisition, we still would have been within our range.
Rich Hill: Got it, okay.
Ernest Rady: It’s we are doing a lot to improve the portfolio this year. The results will not be available this year. But in subsequent years, we will have an improved portfolio based on the improvements that we are installing this year. So as Bob phrases it, it’s a transitional year.
Bob Barton: And Rich, following up on Ernest’s comments is that this transition year is – we are building for the future. And if you just take a look at our portfolio, you look at the Pacific Ridge cash flow that will be added, you look at ICW Plaza down here or Torrey Plaza down here in San Diego, when we repositioned this building, you are going to add on 70,000 square feet at we believe a higher rental rate. You add in Torrey Point that’s not online. And then to that, we have the repositioning of Kmart in Waikele that will come online we hope in 2018. And so you look throughout our portfolio...
Ernest Rady: And Bob, the 21 units at Loma Palisades and then we are now starting to examine the opportunity for more – some more of the older units at Loma Palisades and be positioned. So, it just all speaks to repositioning this year and an improvement for the long run.
Rich Hill: Got it. That’s helpful. And Ernest, I have asked you this question before and I know you love all your children. But between office, multifamily and retail, what do you love more right now? And if you had to put a dollar to work, are we supposed to assume it’s going to go more into apartments like Pacific Ridge or do you think retail is starting to become more interesting?
Ernest Rady: You know Rich, you are a young man. I can tell you that we love all our children. But we love our grandchildren more. Actually, in terms of opportunity in the marketplace today, I like the opportunity for apartments as well as anything. We would buy more retail if we could find it, but it have to be of the quality that we have now. Office is a more commanding or difficult type of product, because there is – it’s lumpy. So, the Board has restricted us in terms of office to approximately what we have today. So, our focus is mostly on apartments.
Rich Hill: Got it. And just one more follow-up question if I may on apartments. The same-store revenue in Portland look to be pretty impressive compared to maybe what some of your apartment peers have been reporting where they have been showing some deceleration in Portland. Anything specific about that property that you are seeing different, that maybe is out – that is maybe setting it apart from the rest of the Portland market?
Ernest Rady: Well, first of all, it’s located on the transportation that goes all over Portland. So, it’s also becoming a community. Now, some of the retail is leasing up and is becoming more of a community. Third of all, it’s the best product we think that we could have provided. We studied very closely what we could do with that site and I think we did the right thing and it’s now proving out to be that we didn’t do everything perfectly, but we did a lot of things very well. So, we are optimistic on that project in the long run and it’s gaining its own reputation as being a well-run place for folks to live in Portland. So, it will – I think it will get better and I just don’t know how fast or how long it will take, but certainly, we are gaining a position of strength in the marketplace.
Rich Hill: Great. Thanks, guys. Look forward to future updates.
Ernest Rady: Thank you.
Bob Barton: Thank you.
Operator: Thank you. Our next question comes from the line of Jeff Donnelly of Wells Fargo. Your line is now open.
Ernest Rady: Good morning, Jeff.
Jeff Donnelly: Good morning, guys. It sounded like office might – you might love all your children, but I might be your stepchild. Just a few questions, you touched on some of these, but just on Pacific Ridge...
Ernest Rady: If we have stepchildren, we are going to put them up for adoption. We love our office too, because it’s the best of the best, but it’s certainly a more difficult approximation to guess long-term and steady increase in earnings from. It’s lumpy.
Jeff Donnelly: Well, I might have misunderstood your response earlier. But I thought you guys have said that Pacific Ridge was acquired with the 10/31 proceeds. Is that in a reverse 10/31 meaning that there is a pending sale or is – am I just – did I mishear that?
Ernest Rady: Bob would like to handle that, please.
Bob Barton: Yes. Hey, Jeff. It’s standard for us that whenever we do an acquisition, we always tee up a reverse deferred tax exchange, because what it does is it forces us to go and take a look at each of our assets within our portfolio. I mean, we are not – we don’t have to hold on to all our assets. When we look at each asset from the standpoint of future earnings, same-store growth and whether it continues to be accretive. And when we – after we do that evaluation, if there is any low hanging fruit that doesn’t make sense, we will then exchange that from that perspective. But after our analysis, all the assets that we have are performing well and the future growth looks very strong.
Ernest Rady: It gives us the opportunity Jeff, if there are somebody who walked in here with an offer that exceeded the economic value we attribute to that property, we can take advantage of that offer without having to incur taxes on the sale. So we have always done that. Just position it and look around and if there is an opportunity, we take advantage and if not, it’s just a couple of senses in the…
Jeff Donnelly: Understood. And then just actually on the Pacific Ridge, I am just curious what slides you from the low to the high end of that un-levered IRR target you have mentioned, I think it’s like 6.5 to a high-7, is that implementation of your plan, is that more macro factors like – what’s going on in the San Diego market, I am just curious what moves you around?
Bob Barton: When we take a look at this, we got a base case and we got a moderate case. And so we – our base case we think is some as realistic as possible, possibly slightly conservative. But we also have a moderate case that we think that will present opportunities if it plays out according to those assumptions. And I – it just depends on the various assumptions that we are using, so that’s what’s the difference. And it’s NOI. It’s not the terminal cap rate that’s making the difference, it’s the NOI, which is differential.
Jeff Donnelly: Okay, that’s helpful. And actually a question on the – I guess related to the hotel bad debt. Thanks for the color on that line item. I think you said the same-store NOI for the hotel was down about 18% and the entire project was down 13%, but can you tell us what the – just do the math for us and tell us what the same-store NOI was for the remainder of the project, the non-hotel component…?
Bob Barton: What the same-store was or what?
Jeff Donnelly: Yes. What the same-store NOI was, I don’t know the contribution of the – off the top of my head, I wasn’t sure if you might have that handy...?
Bob Barton: I don’t have that in front of me, but I believe in my comments, I gave you what the same-store was – on a percentage basis was separately.
Jeff Donnelly: Okay, I didn’t catch that. I can follow-up with you on that and afterwards. And then just one last question, actually I know this isn’t in your ownership and you might have touched on this in the last question, but the Lloyd Center, the big mall redevelopment, it’s going next to Hassalo, that’s largely through its renovation, I think just some minor works remains, I was just curious have you guys have seen increased foot traffic in the area, any signs of that redevelopment has kind of re-energized that area or any kind of view that you have had just having such a big project right next door?
Ernest Rady: It certainly has been a negative. I couldn’t quantify how positive it’s been. Jim, do you have any feel for that?
Jim Durfey: Well, I think maybe so I can address that on a retail side better than I mean it doesn’t impact the office component. Our office component is 97.5% leased and it hasn’t done anything.
Ernest Rady: It certainly adds to the ambience of the area that makes it a community. They have all of those amenities available to the retails that we have in our portfolio, the retail that’s involved in the joining portfolio, a park, the public transportation. It just – if you check the boxes for what makes for a good project, you would check all the boxes for that project.
Jeff Donnelly: Okay, great. Thank you, guys.
Ernest Rady: Thank you. Thanks for your interest.
Operator: Thank you. Our next question comes from the line of Haendel St. Juste with Mizuho. Your line is now open.
Haendel St. Juste: Good morning.
Ernest Rady: Good morning.
Haendel St. Juste: So I had a question on retail, can you talk a bit more about the demand for space, your pricing power in current environment with – I guess some specific color on demand for higher end retail space in Hawaii, given the decline in new leased rents there?
Chris Sullivan: Haendel, this is Chris. I will take that one. So your question was how does the demand feel right now for space in Hawaii?
Haendel St. Juste: Yes. You have pricing power, right, we have seen a decline in the new lease rates there, so just curious if the demand, pricing power and particularly at the higher end at some of your assets there?
Chris Sullivan:
indiscernible 0521:
Ernest Rady: In the short run, absorption is taking place. But in the long run, it really cements the destiny of – cements Honolulu and our properties as a destination for tourists. So short run, probably as it says, Chris has explained, long run, it really cements the projects as a great destination for tourists.
Haendel St. Juste: Okay. Can you add any color as to what drove the decline then in the year-over-year lease rates there?
Bob Barton: Haendel, are you talking about the lease rates on a couple of small shop spaces in Beach Walk, which ones….?
Ernest Rady: Yes. He is referring to the roll-down on the Waikiki Beach Walk retail. There were shops on that.
Bob Barton: So there is…
Ernest Rady: We had two – on the new leases, we had two leases that went up significantly and one that went down.
Chris Sullivan: I have to actually pull the particulars. I mean some of those rates on Beach Walk are quite high on a per square to foot basis. I have been running it for 10 years and new tenants starting up, that’s got a ramp into it, wherever that used to be. I would have to go look specifically that one to answer.
Bob Barton: Yes.
Haendel St. Juste: Okay. And we can follow-up on that? Can we shift to office for a second, it looks like TIs in the quarter were up quite a little bit to over 36,000 square foot, it looks like tighter renewal activity I suspect in Bellevue and so can you comment there what’s going on there about the dramatic increase in the TIs and then also in Bellevue, how are you feeling about that market overall. And Ernest for you, perhaps is that an asset that you might be changing your mind on given the ramping supply and slowing growth in that Bellevue office market?
Ernest Rady: Well, Jim is going to – has a better picture of Bellevue than I. But frankly, I love that property. I mean it is a wonderful piece of property in a great location that’s going, at the moment through some re-absorption and I wouldn’t want to trade that Seattle was hot. We are in the best location in Seattle with a great property that we have spent a lot of money, repositioning to compete with new product coming on. And with that, I will hand it over to Jim to tell you what’s happening in marketplace.
Jim Durfey: Good morning Haendel, this is Jim. When we started speaking last summer about going forward at the City Center Bellevue product…
Ernest Rady: Can you hear Jim, because he is standing, can you hear him, Haendel?
Haendel St. Juste: Loud and clear.
Ernest Rady: Okay, good.
Jim Durfey: When we started looking at just last summer, we had 15 full floor equivalents rolling from then until the end of 2018. Well, we have now knocked 7.5 of those 15 floors off the market. There is another half floor out for sale there as we speak and the expectation of another floor and a half is going to get done before the smoke clears. So long-term picture of the 15 floors, we think 5.5 floors are going to come back. Now that being said, the other thing you remember is three new buildings came out of grab and Bellevue totaling 1.5 million square feet. And Expedia now, as they were going to move out 300,000 square feet, Microsoft threatening to move out a bunch of space, so when we looked at the same, 2 years ago in particular, I think that the common thought was that Bellevue might have some problems long-term. That has all turned around 180 degrees. Those three new buildings totaling 100 and – or 1.5 million square feet only have five full floors of vacancy left. So you are looking at probably 100,000 feet out of the 1.5 million. That’s how well they have done. Expedia extended out to 2020, so that went off the market, so as we look at that market and we started to see rents start to increase again. Back in the peak of the market, I was getting $46, $47 and that dropped all the way down to close to $40 at the point, 2 years ago when things were starting to look bad. And then we are back to $42, $43 and we are very optimistic that we are going to back to those 5.5 floors. And your question as to why we spent $36 in TIs, some of that 7.5 floors was renewals, some of it was new leases to the existing subtenants. But I can tell you that any of that space that would have vacated completely, our TIs would have been closer to $60 a foot and we had those people leave and backfill with new talents. So I am quite happy with the fact that the TIs were what they were to retain good tenants and to bring in subtenants in the direct leases that we think are long-term very accretive to us. And by the way, all those rents on those new deals, I mean, we have talked about TI has been $36, but the rents all went up somewhere between $5 and $8 a foot on those new deals.
Ernest Rady: So, the floors that you are getting back, Jim, but if I may ask a question on behalf of Haendel and you have talked about the rents that will be available in the marketplace on those as we re-lease them, what are the existing rents on those floors?
Jim Durfey: It’s 36 to 38 range and we expect to get in the 42 range.
Ernest Rady: Yes, so there is upside.
Haendel St. Juste: Got it. Appreciate that. And then one more if I may. Just want to clarify and go back to the Tell Me Club. Is there any concern that there is other – risk from other wholesalers, travel agencies? And could this be any indicator of weakening tourism, demand or trends from Japan? Anything more read into that?
Jim Durfey: Yes, Haendel, and that’s a good question. No, it’s – the bankruptcy does not reflect a reduced demand for the Embassy product and especially our product on Waikiki. So, the demand has not gone away. It’s – and we are also taking a look at our other Japanese wholesalers and revisiting our structure with them. We know other hotels felt the pain too out there, not just the Embassy, but other large hotels. So anyway, just to answer your question. The demand has not changed for the Embassy and we are just looking at how we can restructure our agreements with the Japanese wholesalers or other wholesalers as well.
Ernest Rady: As you know, Outrigger runs that property on Waikiki for us and they own or manage thousands of hotel rooms. And I can assure you that they are being very, very cautious of going forward. And I know they will do that on our behalf as well as their own behalf.
Haendel St. Juste: Thank you, gentlemen. Appreciate it.
Ernest Rady: Thank you, sir. Thank you, Haendel.
Operator: Thank you. And I am showing no further questions at this time. I would like to hand the call back over to Ernest Rady for any closing remarks.
Ernest Rady: Okay. Gentlemen, I want to assure you that you have the best property on the Coastal West Coast and you have the most dedicated and capable management team and we are proud to serve you. So, thank you for your interest.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program. You may all disconnect. Everyone, have a great day.